Operator: Thank you for standing by. This is the conference operator. Welcome to the Baytex Energy Corp. Fourth Quarter and Full Year 2021 Financial and Operating Results Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation there’ll be an opportunity to ask questions.  I would now like to turn the conference over to Brian Ector, Vice President, Capital Markets. Please go ahead.
Brian Ector: Thank you, Ariel. Good morning, ladies and gentlemen, and thank you for joining us to discuss our fourth quarter and full year 2021 financial and operating results. Today, I’m joined by Ed LaFehr, our President and Chief Executive Officer; Rod Gray, Executive VP and Chief Financial Officer; and Chad Lundberg, our Chief Operating and Sustainability Officer. While listening, please keep in mind that some of our remarks will contain forward-looking statements within the meaning of applicable securities laws. I refer you to the advisories regarding forward-looking statements, oil and gas information and non-GAAP financial and capital management measures in yesterday’s press release. On the call today, we will also be discussing the evaluation of our reserves at year-end 2021. These evaluations have been prepared in accordance with Canadian disclosure standards, which are not comparable in all respects to United States or other foreign disclosure standards. Our remarks regarding reserves are also forward-looking statements. All dollars amounts referenced in our remarks are in Canadian dollars, unless otherwise specified. And with that, I would now like to turn the call over to Ed.
Edward LaFehr: Thanks, Brian, and good morning everyone. I’d like to welcome everybody to our year-end 2021 conference call. This past year we witnessed a remarkable turnaround for the oil and gas industry as economies recovered from the COVID-19 pandemic and energy prices surged. During this period of renewed optimism, we stayed true to our priorities of maintaining capital discipline, maximizing free cash flow and reducing net debt. And I’m also incredibly excited to announce the next step in our shareholder return framework. Before discussing our year-end results, I’d like to take a moment to comment on the most important asset in our organization, our people. Over the last several years our team has proven to be resilient and focused, and totally committed to generating value for our shareholders. Operationally, we have delivered volumes to market in a safe and efficient manner, and executed our programs to benefit all of our stakeholders. We are grateful to all of our employees and contractors for their commitment and perseverance to operating safely and reliably. In 2021, we generated production of just over 80,000 BOEs per day above the high end of our annual guidance and delivered record free cash flow of CAD421 million, including CAD137 million for the fourth quarter. We significantly strengthened our businesses we allocated 100% of our free cash flow to debt repayment, reducing net debt by 24% to CAD1.4 billion. Exploration and development expenditures totaled CAD313 million, in line with our annual guidance. And we continue to advance our exciting new Clearwater play in northwest Alberta now with 4 of the 5 highest initial rate wells drilled to date in the play. We delivered adjusted funds flow of CAD215 million, or CAD0.38 per basic share in the fourth quarter of 2021 and CAD746 million, or CAD1.32 per basic share for the full year. During 2021, we identified indicators of impairment reversal for our oil and gas properties due to the increase in forecasted commodity prices. As a result, we recorded an impairment of CAD400 million in the fourth quarter, and CAD1.5 billion for the full year 2021 as the estimated recoverable amounts exceeded the carrying value of our oil and gas properties. This contributed to net income of CAD563 million in Q4 and CAD1.6 billion for the full year. With respect to year-end reserves, our proved developed producing reserves increased 7% to CAD129 million BOEs with a resulting finding and development costs including changes in future development costs of CAD8.20 per BOE. This led to a very strong PDP recycle ratio of 4.5 times based on the 2021 operating netback of CAD36.52 per BOE. Our net asset value at year-end 2021, discounted at 10% before tax is estimated to be CAD6.67 per share. This is based on the estimated reserves value plus a value for undeveloped acreage, net of long-term debt and working capital. In 2021, we highlighted our Peavine lands in northwest Alberta, where we are targeting the Spirit River formation, a Clearwater formation equivalent. We executed 2 strategic agreements with the Peavine Métis Settlement that covers 80 sections of our land directly to the south of our existing Seal operations base. We hold another 45 sections of land within the Clearwater potential, giving us a total of 125 sections of prospective land on the play. This play aligned strongly with our core competencies and heavy oil exploration and multilateral development. And our appraisal program yielded exceptional results with production increasing from zero at the beginning of 2021 to over 3,000 barrels a day in January. Our 2 8-multilateral wells drilled in the fourth quarter, and offsetting our highest initial rate well generated 30-day initial production rates of 921 barrels per day and 815 barrels per day, respectively. With the performance of these 2 wells, our Peavine development has now yielded 4 of the top 5 initial rate Clearwater wells drilled to-date across the entire play. In addition, our 8 lateral appraisal well drilled on our northern acreage generated a very economic initial production rate of approximately 120 barrels per day, consistent with our expectations. This well was drilled in an area of   and lower permeability and confirmed our regional mapping for the area, while delivering a rate comparable to the greater Clearwater trend. On our Seal legacy lands, we drilled a successful exploration well in late 2021 with a 30-day initial production rate of 147 barrels per day and we have a follow-up well scheduled for second half 2022. At Peavine Clearwater, our first quarter of 2022 drilling program is underway with 2 rigs running. We have already drilled 6 of 10 planned Clearwater wells in Q1 and we expect to bring these wells on production March through April. As part of this program, we have successfully executed our first 3 standard reach horizontal multilateral wells on our Peavine land, which are utilized to provide appropriate setbacks to residents and environmentally sensitive areas. In aggregate, we expect to bring 18 wells onstream this year. With continued success, we believe the play ultimately holds the potential for over 200 drilling locations that could support production increasing to over 10,000 barrels per day. The Clearwater generates strong economics with the ability to grow organically, while enhancing our free cash flow profile. For 2022, with continued operating momentum and current commodity prices, we expect to generate over CAD550 million of free cash flow and reach our initial CAD1.2 billion net debt target during the second quarter. This allows us to move to the next phase of our return of capital framework, which Rod will now elaborate on it.
Rodney Gray: Thanks, Ed, and good morning, everyone. With our focus on generating free cash flow and driving our debt levels lower, we made considerable progress during 2021. At December 31, our net debt which includes our credit facilities, long-term notes and working capital totaled CAD1.4 billion, down CAD400 million from CAD1.8 billion, 1 year ago. As Ed mentioned that current commodity prices we expect to generate over CAD550 million of free cash flow in 2022 and hit our previously established net debt target of CAD1.2 billion during the second quarter. This is a significant milestone for us. As we reach this debt level, we have reduced our net debt by approximately CAD1.1 billion over the past 3.5 years. And with CAD500 million of liquidity, our balance sheet is arguably the strongest it has been in the last 8 years. As a result, we are very pleased to announce the return of capital framework, which includes allocating approximately 25% of our free cash flow to share buybacks commencing in the second quarter. At current prices, we expect to repurchase shares representing approximately CAD125 million to CAD150 million of value this year. This share repurchase program is subject to approval from the Toronto Stock Exchange, and we will seek all of the necessary approvals over the next couple of months. The remainder of our free cash flow will continue to be allocated to debt reduction until we achieve a net debt level of CAD800 million, representing an expected net debt-to-EBITDA ratio of approximately 1 time of using a US$55 WTI price. We feel this will provide us with ultimate flexibility to run our business through the commodity price cycle, and generate meaningful returns for all stakeholders. At current prices, we expect to achieve this net debt level by mid-2023, at which point we will consider steps to further enhance shareholder returns. Turning to risk management, we maintain a consistent approach utilizing various financial derivative contracts in crude-by-rail to reduce the volatility in our adjusted funds flow. For 2022, we have entered hedges on approximately 41% of our net crude oil exposure, utilizing a combination of swaps at US$53.50 per barrel, and a 3-way option structure that provides price protection at US$58 per barrel with upside participation to approximately US$67.50 per barrel. We also have hedges in place on our Canadian light and heavy oil differential exposure. Full details of our hedge program can be found in our year-end financial statements and are available on our website. And with that, I’ll turn the call back to Ed.
Edward LaFehr: Thanks, Rod. We’re very excited to be in this position today. And I would like to reiterate that we remain intensely focused on capital discipline, while generating substantial free cash flow and maintaining strong financial flexibility and commencing during the second quarter providing a direct return to our shareholders. For 2022, we continue to forecast exploration and development expenditures of CAD400 million to CAD450 million, with production of 80,000 to 83,000 BOEs per day. We have now completed year 1 of a 5-year plan that demonstrates our financial and operational sustainability. Going forward, our base plan at US$65 WTI will see us invest approximately 50% of our annual adjusted funds flow during the plan period, generating CAD2.1 billion of cumulative free cash flow and growing production to approximately 90,000 BOEs per day, reflecting a 2% to 4% annual production growth rate. Under constant US$75 per barrel and US$85 per barrel WTI pricing scenarios, our expected cumulative free cash flow increases to approximately CAD2.8 billion and CAD3.4 billion, respectively. Our business is strong, and we look forward to executing our plans for the ongoing benefit of all stakeholders. And with that, I will ask the operator to please open the call for questions.
Operator: Thank you. We will now begin the question-and-answer session.  Our first question comes from Dennis Fong of CIBC World Markets. Please go ahead.
Dennis Fong: Hi, good morning, and thanks for taking my questions. I guess, the first one here is just related to outstanding leverage on your current term notes and so forth. I think the way to think about it would be the June timeframe makes sense for you to take out kind of this next tranche of notes. Just wanted to think about the following tranche and kind of what your plans are for that whether it be refi or something along those lines, obviously, given the amount of free cash flow that you’re generating? Thanks.
Rodney Gray: Sure. Good morning, Dennis. It’s Rod talking. Yes, good question relative to the debt. We do have CAD200 million remaining outstanding on the 2024 bonds, those are at 5.625%. And they actually dropped down to being callable at par in June of this year. So we will anticipate taking those out once they actually dropped down to the call price. When you look at the 2027 notes, which bear interest at 8.75%, the first callable date on those notes is actually April 1, 2023. And it would be our intention to probably refinance those notes at a much better rate at that time. So that’s the current plan, but we’ll watch markets as they go.
Dennis Fong: Great. Thanks. And then my second question is a little bit more on the operation side, obviously, congrats on the strong well results in the Peavine area. How should we be thinking about the infrastructure in the region? Or are there incremental steps as you obviously generating like additional strong well results? How should we be thinking about kind of the next levels of facilities and so forth, as you continue growing in that asset, if there are any?
Edward LaFehr: Yeah. Well, the beauty of this play is its right in and around our operations base at Harmon Valley and Seal. So it’s our legacy area today producing about 15,000 barrels a day, we have a team in place, we have infrastructure in place, we have a central battery, we’re trucking all of the Peavine barrels into up at Seal. And we’re egressing those barrels through our 90-kilometer operated pipeline to Nipisi, where we intersect with the plains terminal. So we’re in good shape from an infrastructure standpoint, when you do look at our capital, as we’ve outlined in the IR deck, we have put CAD35 million in there to drill 18 wells, there is some road extension pad builds small things we have to do inside the settlement in order to extend and build our leases and get going. In Q1, there’s a big chunk of that that drives the rest of the year, where we’ve added – in Q4, actually we added 3 pads extended a road, and it’s some minor stuff like that. But overall, everything’s coming along. And that area to the south, by the way, I don’t know if you caught the importance of it. But we’re drilling and have actually completed 6 of 10 wells in Q1 that’s down in that area where we have expanded our infrastructure. And those are extended reach wells going  . It’s a different construct due to what we want to see for the full field development down in that area. And we’re very excited, it’s the best reservoir we’ve seen, as I said, we’ve got 6 wells down, 3 of them there, 3 of them in the different location. But very exciting areas, the core, the central part of the play, but we’re going to egress those barrels and operate those barrels much in the same way. We’ve done all the rest of it, where it’s being operated by our Peace River legacy team that knows multilateral drilling and operations better than anybody in the business. And we’re sitting in a very strong position with respect to infrastructure, and the costs associated with that are in that CAD35 million we budgeted for the area this year. Did that answer your question, Dennis?
Dennis Fong: Definitely. It did. Appreciate the color. And I’ll turn it back.
Edward LaFehr: Okay.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Mr. Ector for any closing remarks.
Brian Ector: All right. Thanks, Ariel. Thanks everyone for participating in our year-end conference call today. Have a great day.
Operator: This concludes today’s conference call. You may disconnect your line. Thank you for participating and have a pleasant day.